Operator: Good day, ladies and gentlemen, and welcome to the ACCO Brands Fourth Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions]. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, today's conference is being recorded. I'd now like to introduce your host for today's conference, Jennifer Rice, Vice President of Investor Relations. Ma'am, please go ahead.
Jennifer Rice: Good morning. Welcome to our fourth quarter 2016 earnings conference call. Joining us today are Boris Elisman, Chairman and Chief Executive Officer of ACCO Brands; and Neal Fenwick, Executive Vice President and Chief Financial Officer. Slides that accompany this call have been posted to the Investor Relations section of accobrands.com. When speaking to quarterly results, we refer to adjusted results. Adjusted results exclude transaction costs, restructuring and other one-time and non-recurring charges and apply a normalized effective tax rate of 35%. Schedules of adjusted results and other non-GAAP financial measures and a reconciliation of these measures to the most directly comparable GAAP measures are in this morning's earnings release or the slides that accompany this call. Due to the inherent difficulty in forecasting and quantifying certain amounts, we do not reconcile our adjusted earnings per share or effective tax rate guidance. For more information, see this morning's please release. Forward-looking statements made during the call are based on certain risks and uncertainties and our actual plans, actions and results could differ materially. Please refer to our press release and SEC filings for an explanation of certain of these risk factors and assumptions. Our forward-looking statements are made as of today's date and we assume no obligation to update them going forward. Following our prepared remarks, we will hold a Q&A session. Now, it is my pleasure to turn the call over to Boris Elisman.
Boris Elisman: Thank you, Jennifer, and good morning, everyone. Earlier today, we issued our financial results and I’m pleased to report that we capped a great year with an excellent quarter. For the quarter, revenues were up 6% primarily due to our Pelikan Artline acquisition and Esselte. We expanded gross and operating margins. We grew our earnings per share significantly after adjusting for one-time items. Our fourth quarter performance was driven by our international business both acquisitions of Pelikan but also strong performance in Brazil and Mexico. This was despite the challenging macro conditions in each of those geographies. Our activity improvements helped our North American and international profitability as well. Overall, I’m very pleased with our performance in Q4. Our results for 2016 in total were also very strong. We met or exceeded nearly every operational or financial objective that we have set for the year. Each of our business segments contributed to revenue growth, profit improvement and delivered strong free cash flow. Within North America, we continued to grow and take share in a strategic mass merchandize and ecommerce channel. Once again, we experienced an excellent back-to-school season expanding our placement in both mass and office superstores, and grew sales for school products. While certain customers continued to close retail outlets as expected and others reduced inventories, we managed the challenges exceptionally well. And as a result, our sales for the year were roughly flat and our profits grew with operational efficiencies and lower expenses. The Pelikan Artline acquisition drove much of the improvement in our international results for the year but there were other highlights. In both Brazil and Mexico, sales and margins improved despite continuing economic weakness as well as political and currency volatility. In both countries, sales were up low-double digits from prior year. Our Asia-Pacific region saw sales and margin gain with good growth in Japan and China. In Europe, our now legacy ACCO Europe business had lower sales as major customers reduced inventory in light of economic uncertainty in changes of ownership. Nevertheless, European gross margins were up significantly versus prior year. During the year, we stabilized the Computer Products business essentially completing the transition to higher valued products and as a result improved gross margins and overall profits. We have a robust new product pipeline for 2017 and beyond including a number of proprietary product initiatives with our PC partners that address physical security needs for their evolving laptop, tablet, docking products. Finally, 2016 free cash flow was very strong aided by higher adjusted EBITDA and lower capital spend. We also paid down a significant amount of debt and refinanced our bonds in December reducing future interest by $10 million per year and extending maturities into 2024. We have an attractive capital structure which should meet our operational and strategic needs well into the future. This was a significant year for us from a strategic perspective as well because of the two acquisitions we announced in 2016. The acquisition of Pelikan Artline Australia is well into its integration and is meeting our expectations. This acquisition added $0.03 to our adjusted EPS in 2016. The acquisition of Esselte closed just three weeks ago. By beginning integration activities, I’m very excited by the opportunities for consumer, customer, shareholder value creation that Esselte present. We plan to update you regularly on the integration progress beginning next quarter. For 2017 and beyond, our strategy remains consistent. We will continue to manage our mature markets by focusing on growing channels and categories, working to gain buying share and market share for those customers in those categories. We will manage more mature categories and channels for profit. We will continue our laboring commitment and rigor around execution of productivity initiatives. We will prudently invest in emerging markets with an expectation for top and bottom line growth. And as always, we will focus on generating strong cash flow. Over the last several years, we have delivered significant margin improvement and strong cash flow in a rather turbulent environment. Since 2012, foreign exchange translation, customer consolidation have reduced our revenues by nearly $300 million. We have offset customer consolidation with sales growth with other customers and with Pelikan Artline acquisition. Over this same period, we have expanded our gross margin more than 200 basis points and reduced our net leverage from 3.7x to 2.5x. We have also strengthened our business by adding strong and user-relevant brands, increasing share in faster growing channels and developing a culture that consistently delivers results even in a difficult environment. I’m very proud of our company, our team and our accomplishments. Looking forward to the next several years, we will aim to drive sales growth and continued margin improvement in our business. Based on the current product portfolio and mix of business, we believe over the next few years we should be able to deliver annual sales growth of low-single digits, currency and acquisitions aside. We also believe we can expand gross margins to 33% to 34%. This is up from our prior target range 32% to 33%. We also believe we can lower our SG&A to closer to 19% down from high 19% levels today. We expect to generate increasing amounts of free cash flow which in the current year will primarily be used to pay down debt, but beyond 2017 will be allocated between debt reduction or other shareholder value options including share repurchases or acquisitions. Specifically for 2017, our guidance is as follows. We expect sales to increase 22% to 26% driven by our two acquisitions and adjusted earnings per share to be in the range of $1.05 to $1.09. Foreign exchange to be modestly negative and offset by small organic growth. We expect 2017 adjusted free cash flow of approximately 150 million, which we will use to pay down debt. To summarize, we had a terrific year; one that exceeded our expectations. We continue to execute well despite negative market conditions in many of our markets and some of our traditional sales trends. I’m very optimistic about our future and believe our company is well positioned to deliver strong shareholder returns in the years ahead. With that, I’ll ask Neal to provide some additional insight into the quarter and the year. Neal?
Neal V. Fenwick: Thank you, Boris, and good morning. Our fourth quarter and full year performance is recapped on Page 4 of our slide deck. Fourth quarter sales increased 6% with the Pelikan Artline acquisition adding 8% and foreign exchange adding 1%. Underlying sales declined 3%, due to destocking by certain wholesalers and declines with office superstores. Operating income increased despite one-time and restructuring charges of 5.1 million. Adjusted operating income increased 14% to 64.8 million from 56.8 million in the prior year quarter and adjusted operating income margin increased 100 basis points as a result of improved gross margin and the Pelikan acquisition. Reported net income decreased 6.1 million or $0.06 per share compared to 31.4 million or $0.29 per share in the prior year quarter. The decrease was due to a 25 million make-whole premium and 4.9 million charge for the write-off of debt issuance costs, both of which were related to the refinancing of our senior unsecured notes in December. Adjusted net income increased 10% to 35.6 million or $0.32 per share from 32.5 million or $0.30 per share in the prior year quarter. The increase was primarily driven by the improved gross margin and acquisition of Pelikan Artline. Looking more closely at gross margin, which increased 170 basis points in the quarter to 35.1%, the improvement was primarily driven by productivity initiatives which contributed 130 basis points. SG&A as a percent of sales increased partly due to 4.5 million of one-time items. Excluding these items, adjusted SG&A as a percent of sales increased 50 basis points to 19%, primarily due to higher incentive compensation expense which added 90 basis points. Turning to the full year results. Sales increased 3% driven by the acquisition of Pelikan which added 5%. Foreign exchange translation reduced sales by 1%. At constant currency, sales declined 1%. Strong sales growth impacted school and with the mass and e-tail channels nearly offset the declines we saw with certain wholesalers and at office superstore customers. Gross margins improved for the year due to strong execution and cost savings. SG&A as a percentage of sales was up slightly due to higher incentive compensation expense. Operating income margin while on the reported basis was down 10 basis points, on an adjusted basis increased 110 basis points to 11.9%. Reported net income and adjusted net income were both $0.87 per share compared to net $0.78 per share in the prior year period. The improvement was primarily the result of the Pelikan acquisition and gross margin expansion. Turning to an overview of our segments. In the fourth quarter, North America sales decreased 4%. Strong growth in mass and e-tail was offset by destocking at certain wholesalers and declines in the office superstore channel. As a result of lower sales, North America operating income and margin was down in the quarter. For the year, North America sales declined only 1% with strong growth in back-to-school that nearly offset the declines with certain wholesalers and office superstores. Segment operating margin expanded a strong 60 basis points in the year, primarily driven by productivity improvements. In our international segment, fourth quarter sales increased 29%. Pelikan added 26% or 34.1 million. Foreign exchange added 2%. On a comparable basis, sales increased 1% primarily driven by pricing and stronger performance in Brazil and Mexico. International operating income increased due to the Pelikan Artline acquisition which added $0.02 of earnings in the quarter. For the year, international sales increased 14% with Pelikan adding 18% and foreign exchange deducting nearly 3%. Underlying sales decreased 2% driven by volume declines in certain markets, partially offset by price increase. International segment operating income increased nearly 12 million. Adjusted segment income increased 19.2 million and adjusted margin expanded 290 basis points to 12.4%, driven by Pelikan and cost savings. For the full year, Pelikan contributed $0.03 EPS. Computer Products sales declined 7% in the quarter and 3% in the year, driven by lower tablet accessory sales. Profitability continued to improve quarter-over-quarter and we finished the year with solid margin improvement in this segment. Turning to our cash flow and balance sheet. We again generated significant annual free cash flow. In 2016, we delivered 148 million but this includes 11.6 million of cash cost related to acquisitions and 6.5 million of accelerated interest payments related to our note refinancing. Excluding these two items, our adjusted free cash flow was closer to 156 million. Improved profits, less adverse foreign exchange and lower capital spend drove the better performance. The Pelikan acquisition was insignificant to our 2016 cash flow due to the timing of the acquisition and integration process. We reduced net debt by 11.8 million in the year but this is net of adding 85 million of debt in addition to acquiring 24 million of debt for the Pelikan acquisition. In December, we completed the refinancing of our senior subordinated notes replacing 500 million of notes that had a coupon of 6.75% with 400 million of privately placed notes that have a coupon of 5.25% and extends the maturity to 2024. This early refinancing triggered a 25 million make-whole premium, 6.5 million of accelerated cash interest payments and the write-off of 4.9 million of debt issuance costs. However, our annual interest expense will be lower by 10 million or $0.05 accretion to EPS. We were thrilled with the outcome of this refinancing. We finished the year with a net debt to adjusted EBITDA ratio of 2.5x. Our capital structure has further evolved since year end in connection with the completion of the Esselte transaction, as we refinanced our senior bank debt. Slide 11 of our deck shows the updated capital structure. We now have a multicurrency facility of repayable debt and a larger revolver and our bank debt maturities are extended out five years. We are pleased with the current capital structure, as it is efficient and provides ample flexibility for both financial and strategic needs. Lastly, I’ll provide some additional information regarding our 2017 guidance. We have updated a number of modeling assumptions as noted on Page 9 of our presentation. These assumptions factor in 11 months of Esselte and a full year of Pelikan. The most notable items include our long-term effective tax rate which due to the two acquisitions and the addition of foreign debt is now expected to be 32%, down from our previous rate of 35%. This is a benefit of about $0.05 per share which helps offset the impact of higher share count and foreign exchange. Diluted share count is expected to be 112 million. There will also be a higher ongoing level of cash taxes due to the exhaustion of our U.S. NOLs in mid-2017. Finally, while we do not provide quarterly guidance I would like to point out that we expect a similar waiting of our sales and EPS to last year whereby our earnings will largely be waited for the third and fourth quarters. We also expect the first quarter to be roughly breakeven as it was in 2016. Our cash flow will also remain seasonal with almost all of our full year cash flow accumulated in Q3 and Q4. Our cash flow generation in Q1 will be similar but with the addition of the Pelikan business in Australia, offset by cash restructuring costs for Esselte. For the second quarter, working capital investments for the North American back-to-school cycle will create a cash outflow quarter which is our normal cash cycle. As a result of the Pelikan Artline and Esselte acquisitions, we will be realigning our business segment for financial reporting purposes beginning in the first quarter of 2017. Going forward, we will continue to have three segments but they will all be geographic segments. One will be North America which will include the U.S. and Canada; another will be EMEA which will include Europe, Middle East and Africa; the last will be international which will include Australia, Latin America and Asia-Pacific. The existing Computer Products segment will be folded into the segments based on each region. We will provide historic restatements by segment, by quarter in mid-March. With that, I’ll conclude my remarks and move on to the Q&A where Boris and I will be happy to take your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Brad Thomas with KeyBanc Capital.
Brad Thomas: Hi. Good morning, Boris, Neal and Jennifer and congratulations on a great quarter and a great year.
Boris Elisman: Good morning, Brad. Thank you.
Brad Thomas: I wanted to focus on one of your comments, Boris, if I heard you correctly. You talked about the goal to grow sales in constant currency organically in the low single digit range and I was hoping you could talk a little bit more about both the organic opportunities you have today and maybe some of the opportunities you have in light of these recent acquisitions that you’ve done?
Boris Elisman: Sure. So as I’ve mentioned, we’d expect sales will grow low single digits. The way that breaks down is flat to low single digit growth in our North America and EMEA business and mid-single digit growth in our international business. And if we look at the last couple of years, we’ve been nearly offsetting the decline in our traditional channels with growth in mass and ecommerce. I expect that to continue but I do expect that the traditional channels would reach some kind of a low asset tote and either start declining at a lower rate or stop declining altogether. Also with the acquisition of Esselte, our European business is now in a much stronger position for flat or low single digit growth. Legacy ACCO business in Europe has been skewed toward larger accounts such as Staples and Office Depot and AmeriCorps [ph], and especially larger accounts that is having a little difficult time in Europe growing. Most of the growth in Europe has come through smaller local independents. And Esselte is very, very strong with local independents. So with having them as part of our portfolio, we expect to turn around our sales there. So that’s the rationale for why we do expect to have low single digit growth in these.
Brad Thomas: That’s very exciting. Thank you, Boris. And if I could just add one follow up about the mass channel in the U.S. You’ve had a lot of success in the past few years. How are you feeling about the outlook for that channel in that group of customers in 2017?
Boris Elisman: Yes, we are in the middle of our back-to-school selling process. Actually the presentations are all complete but we haven’t heard all of the decisions yet. But just back on what we know so far, we’re optimistic about that back-to-school '17 will be at least as good if not better than back-to-school '16. So we’re in a good position.
Brad Thomas: Very helpful. Thank you and congratulations again.
Boris Elisman: Thanks, Brad.
Operator: Your next question comes from Bill Chappell with SunTrust.
William Chappell: Thanks. Good morning.
Boris Elisman: Good morning, Bill.
William Chappell: First on gross margin, I appreciate the raising of the guidance but maybe you can kind of help us how we get the 35% over time? Is that more mixed with the business, is it more synergies? Are there more kind of supply chain and other gross margin savings you can find this on the core business? What’s kind of the pathway to 35?
Boris Elisman: It’s a combination of a couple of things. With the acquisition of Pelikan Artline and Esselte, product mix is now getting skewed towards better end user centric brands which have higher demand, better differentiation and carry a higher gross margin. That’s one of the reasons for the raise. Second is ongoing productivity initiatives. As you know, we’ve had six years of building Six Sigma program. The Esselte organization also has a very mature Lean program that they’ve implemented many years ago. So we expect the combination to continue to take out costs from our businesses worldwide. And then last but not least, we do expect $31 million of synergies between Pelikan Artline and Esselte acquisition and part of that will be on the cost of goods side which should also help lift gross margins. So we do feel pretty good to actually be able to expand and sustain the margins at 33% to 34% level.
William Chappell: Okay. And I think you’ve talked about Esselte having a better I guess working capital inventory management. Is that possible to kind of apply some of those methods to your business or to the life of business this year and get working capital improvements, or is that more of a 2018 type thing?
Neal V. Fenwick: Realistically, Bill, it’s probably something that will affect 2018. This is definitely something that we want to do. As I mentioned on the call last quarter, Esselte is better than legacy ACCO at managing working capital. So we can learn things and implement it in other parts of our business. We will certainly try to do that. That was not part of our investment hypothesis, so it’s not baked into any numbers but certainly is an upside for 2018 and beyond.
William Chappell: Okay. And then last one for me, I think you mentioned in the quarter – I just want to make sure I understood this. Legacy ACCO Europe was a little bit weak to the change of control I guess concerned. Was that at a customer or is that you buying Esselte? And if it’s the latter, do you expect kind of continued turbulence as you integrate that business?
Boris Elisman: No. That was because of the changes with customers. As you probably know, both Office Depot and Staples sold their European businesses at the end of 2016. So associated with that, there were some slowdown in purchasing on their side in Europe and that affected us, because they’re big customers of ours.
William Chappell: Got it. And that’s not really carrying over into '17?
Boris Elisman: Not really, no.
William Chappell: Perfect. Thanks so much.
Boris Elisman: Thanks, Bill.
Operator: Your next question comes from Kevin Steinke with Barrington Research.
Kevin Steinke: Good morning. So I wanted to follow up on you talked about the strength in Brazil and Mexico. What exactly is working there? Could you get into how back-to-school went in Brazil? And I think Neal made a comment about pricing helping growth there, so maybe the mix of price versus volume in those markets that was driving that double digit growth.
Boris Elisman: Sure. So back-to-school in Brazil was great. I’m really, really happy with our performance for back-to-school. Sales were up double digits, which is incredibly strong given the economic situation in Brazil. And basically we took share. There’s no other way to explain it by. We just executed better than the competition. We took share. And in a tough environment like that, we were the strongest supplier, the strongest manufacturer out there that our channel partners could rely on to supply them with good quality products on a timely manner. So I’m very, very pleased with the results in the Brazil. As Neal mentioned, most of that was due to increased prices. As you know, Brazil just in general is a high inflation environment. Inflation there is high single digits. It’s coming down now from where it was but we did raise prices on the order of 8% to 9% last year and most of that is what drove the growth. Mexico also had a great year and part of that was Mexico experienced also a weakening peso throughout the last couple of years. So they had to adjust our prices to combat that dollar denominated inflation; that was part of the reason. And the second is the team executed really well there as well. We had the right inventory at the right time for our customers. We had a great back-to-school there which was similar to the timing with the U.S. back-to-school, but overall had a great year and a great Q4.
Kevin Steinke: Okay, that sounds great. In response to an earlier question, you talked mostly about the longer term expectations for the North American and EMEA segments, but you also mentioned they had a goal of mid-single digit growth in this new international segment. So can you just talk about what would drive that mid-single digit growth? What the assumptions are behind that?
Boris Elisman: Sure. We think that we can grow our sales in Brazil, Mexico and Asia Pacific by mid to high single digits and we can hold sales flat to low single digit growth in Australia; so in combination that’s around mid-single digit growth.
Kevin Steinke: Okay, that’s very helpful. And then you talked about the outlook for 2017. I think you said modest organic constant currency growth. Did you mention what the assumption is for currency in 2017?
Boris Elisman: Yes, what we talked about is we expect currency to be a negative effect on our EPS by low-single digits, $0.02 to $0.03 in that range. And we expect the organic growth to offset that, so organically $0.02 to $0.03 growth in EPS.
Kevin Steinke: What does that imply for top line headwind?
Boris Elisman: For FX?
Kevin Steinke: Yes.
Boris Elisman: For FX, 1% to 2%.
Kevin Steinke: Okay, 1% to 2%, all right. Got it. Thanks for taking the questions.
Boris Elisman: Thanks, Kevin.
Operator: Your next question comes from William Reuter with Bank of America Merrill Lynch.
William Reuter: Good morning.
Boris Elisman: Good morning, Bill.
William Reuter: So last handful of years you guys have kind of laid out some productivity targets in terms of savings. Do you guys have a similar savings number that you guys are hoping to achieve in 2017?
Neal V. Fenwick: We do. We believe this number – the number for this year will be closer to $20 million as opposed to regular $30 million number that we typically shoot for. And the reason for that is we’re going to be focused on integration in 2017. As a result a lot of productivity initiatives will be slowed down a little bit to make sure that we get the effectiveness of the integration right before we focus on the efficiencies. So this year it will do a little bit lower but I expect us to return to our typical rate and actually probably increase it after the integration is underway.
William Reuter: Okay. And does that $20 million exclude synergies as part of the acquisitions?
Neal V. Fenwick: It does. It excludes synergies.
William Reuter: Okay. And then you talked about growth in the North American market that you guys think you can achieve, I think you said low single digits and I don’t know if that was 2017 or kind of over the next handful of years. But I guess can you talk about what’s going to fuel that growth, whether it’s innovation, whether it’s gaining shares? And I guess if you can talk a little bit about what you guys are seeing in terms of your total number of doors that you’re in, in North America?
Boris Elisman: The low single digit growth in North America is a longer term goal over the next several years. We still are in a more adjusting phase I guess in 2017. What’s happening in North America is and that’s been happening for the last couple of years is a huge shift in the way that consumers who have been with us buy and we are at the forefront of that shift and I think we’ve been managing it exceptionally well. Consumers are going to mass channels such as Walmart and Target and they’re going online for their school and office supply purchases and less and less to specialty retail stores. And that’s what’s been affecting everybody’s sales in this business including ours. But as I mentioned we’re managing it really well. And as Neal said in his prepared remarks, sales in North America were down slightly less than 1% because the growth in mass and e-tail nearly offset the declines in the traditional channels. And then the other thing that as these changes happen, there are also fairly significant consolidation distribution centers that happens and the channel partners who are not growing tend to reduce their inventories, which obviously affects the replenishment. So that’s what’s been happening. Now at our end we’ve been growing mass and ecommerce and have been doing that by introducing new products, innovating in new categories, expanding our presence really over investing in marketing and product development to make sure we stay ahead of where the competition is. And the plan is to continue to do that. So the plan is to continue to invest and grow and innovate in categories and channels that are growing, that are attractive and then prudently manage the channels that are transitioning. We absolutely want to still partner with those customers, we want to support them and we want to grow our market share but we need to do it in such a way that provides a good return for our shareholders and that’s what we have been doing, that’s what we plan to do in the future as well.
William Reuter: Okay. Just lastly, the number of doors that you guys ran in North America, will that number – and this is just brick and mortar I’m talking about, will that number be up or down in 2017?
Boris Elisman: I think in general, we have fairly high market shares in retail. I can’t think of a retail chain that sells school and office supplies that doesn’t carry us. But if I look at, just to count the numbers of doors, I do expect Staples and Office Depot to close stores in 2017 and they’ll probably close more stores than Target, and Walmart and others will open. So the number of doors will probably be down in '17 versus '16. But our shelf space and our penetration would probably be up because as I’ve mentioned on the previous answer, we do expect our 2017 back-to-school to be as good if not better than 2016.
William Reuter: Okay, fair enough. Thank you.
Operator: Your next question comes from Karru Martinson with Deutsche Bank.
Karru Martinson: Good morning. Just trying to reconcile the use of working capital [indiscernible] consolidation in the industry door closures, reductions of inventory. That’s just coming all from the mass and ecommerce or is there something else that’s changing in the market?
Boris Elisman: We saw a couple of things that occurred in the market. You saw in North America one of the wholesaler channel significantly reduced inventory. And in addition to that, there’s been a general shift to I’ll call it more inventory efficient channels, the mass channel and ecommerce channel carries a lot less inventory than traditional channels. And so as this has shifted over many years into that channel, we’ve seen a constant negativity of inventory in the channel decreasing. It just took a significant step down, more significant than prior year in 2016.
Karru Martinson: Okay. And we haven’t heard anything on private label in a while it seems. Has that wave kind of receded or plateaued?
Boris Elisman: I think plateaued is the right word. Private label is part of our industry. Every channel partner has some private label. And then depending on their approach and the strategy, there have more or less. But it’s fairly stable and overall it’s around I’d say 25% level in the industry and in some categories, it’s much lower, in other categories it’s much higher. We manage it effectively. We participate in private label if it makes sense for us from a category perspective. We tend not to do it if it’s just private label for private label sake. So I would say it’s pretty stable in '16 versus '15 and I don’t expect significant changes to 2017.
Karru Martinson: Okay. And just lastly, I realize that it’s early and there’s a lot of fluidity on the subject, but in terms of the border attacks potential, what are the implications for you all?
Boris Elisman: You’re right, it is too early and it would be improper for me to speculate. But it would affect our business certainly if there’s a border attack. And actually we believe we will benefit our business from a competitive perspective because we do have U.S. manufacturing facilities that could manufacture and scale. Today, we manufacture about 40% of the products that we sell in the U.S. were manufactured in the U.S. And if the cost of imports becomes significantly higher that we could certainly shift to manufacture more in the U.S. And most of our competitors and certainly our customers who import private label from China certainly can’t do that. So that would be a competitive advantage for us. But on the other hand, if there is a border adjustment tax, I do expect it to affect pricing to raise pricing and that may serve the new demand and that obviously would not be good for anybody. So we have to see exactly what happens and how it happens in the details before we can truly understand how it’s going to affect our business. I think from a competitive perspective, we would be in an okay position.
Karru Martinson: Thank you very much, guys. I appreciate it.
Boris Elisman: Thank you.
Operator: Our next question comes from [Technical Difficulty].
Unidentified Analyst: Hi. Good morning.
Boris Elisman: Good morning.
Unidentified Analyst: Just wanted to ask first off, can you just talk about how you can – how fast you could realize any kind of revenue synergies in Europe that now you’re able to sell to more of the smaller retailers, and if that’s in any of your integration plans right now?
Boris Elisman: Revenue synergies were really not part of our integration hypothesis. We certainly do want to realize them and we’ll be putting plans in place to see if we can take the products that Esselte offers pretty much exclusively in Europe and bring it to other parts of our business. But exactly how much and how quickly is very, very difficult to tell. As you’ll realize this is not a greenfield. We have to go and compete against the existing competitors. So our plans will be aggressive but I want to be realistic and not counting on the victory before actually happening. So we certainly will work on that, but I don’t want to give you a number or timeframe.
Unidentified Analyst: Okay, and I was talking about the other way around where you saw actually other ACCO brands more within distribution networks that Esselte brings to you guys?
Boris Elisman: That is certainly part of the integration hypothesis and I do expect traction on that in 2017. But again, incremental revenue was not part of the hypothesis overall, so I don’t want to put a number on it. But we will be acting on it in '17.
Unidentified Analyst: Okay. And then the other, just a clarification here is that in 2016 and you ended the year with free cash flow 148 and then I think it would have been 166, perhaps a one-time event. Then on the previous calls you had been talking about Esselte adding about 20 million in the first year in cash flow synergies. So where does that show up in 2017, because it’s only going fairly up from 148 to 150 – I forget, 166.
Boris Elisman: So there are a couple of points on that. First of all, from an Esselte point of view, while economically we still will receive the benefit of 20 million of cash flow, the effective – the closing balance sheet that we now know because we acquired it at the end of January is that the seller left more cash and more liability. The effect of that on the GAAP is that I’ll effectively have 20 million more liabilities which will show up to offset the cash flow I would have got and I’ll have a 20 million low purchase price. So Esselte were effectively contributing no cash to us in 2017. The second point that really changed in 2017 is the comment I made about the U.S. NOLs and our cash taxes rise significantly in 2017. And that’s from two causes; obviously the inclusion of Esselte taxes which has half of the increase and half of the increase is U.S. taxes which I’ll have to stop paying in 2017. The other issue is we spent very low capital expenditure in 2016. We deferred a large IP implementation into 2017 and so we will see that come through in 2017.
Unidentified Analyst: Okay. But does that change the outlook as far as the three-year projection of getting $50 million in free cash flow.
Boris Elisman: Not at all. And if it wasn’t for the way GAAP works, we still effectively economically getting the 20 million of cash flow anticipated in '17.
Unidentified Analyst: Got it. Okay. I appreciate it. Thank you.
Boris Elisman: Thank you.
Operator: We have a follow-up question from the line of Kevin Steinke with Barrington Research.
Kevin Steinke: Hi. Do you have a specific target for debt reduction that’s incorporated into the 2017 guidance?
Boris Elisman: We do plan to use most of the free cash flow to pay down debt. But typically we’d do it, Kevin, at the end of the year because that’s when most of the cash comes in. So we don’t expect any of the benefits to show up until 2018.
Kevin Steinke: All right, thanks. That’s all I had.
Boris Elisman: All right. Thank you, Kevin.
Operator: I’m showing no further questions in queue at this time. I’d like to turn the call back to Mr. Elisman for any closing remarks.
Boris Elisman: Thank you. To summarize, we had a great year and a great quarter. With the acquisition of Pelikan Artline and Esselte now behind us and a new more favorable capital structure, I’m confident that we’re well positioned for even greater success in the future. Thank you for your participation today and will talk to you again next quarter. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may now disconnect. Everyone, have a great day.